Operator: Good morning, and welcome to The J.M. Smucker Company's Second Quarter 2014 Earnings Call. At this time, I'd like to remind you that this conference is being recorded. [Operator Instructions] I'll now turn the conference over to Sonal Robinson, Vice President of Investor Relations. Please go ahead, Ms. Robinson.
Sonal P. Robinson: Good morning, everyone, and welcome to our second quarter earnings conference call. Thank you for joining us today. On the call with me are Richard Smucker, Chief Executive Officer; Vince Byrd, President and Chief Operating Officer; Mark Belgya, Chief Financial Officer; Steve Oakland, President, International Foodservice and Natural Foods; Mark Smucker, President, U.S. Retail Coffee; and Paul Smucker Wagstaff, President, U.S. Retail Consumer Foods. Following this introduction, Richard will provide an overview of our second quarter performance. Vince will then provide an update on our business segments, and Mark will close with additional comments on our financial results for the quarter and our outlook for the full year. Before I turn the call over to Richard, let me remind you that we may make forward-looking statements during the call that reflect the company's current expectations about future plans and performance. These forward-looking statements rely on a number of assumptions and estimates, and actual results may differ materially due to risk and uncertainties. I encourage you to read the full disclosure statement in the press release concerning forward-looking statements. Additionally, please note the company uses non-GAAP results for the purpose of evaluating performance internally. Discussion on non-GAAP information is detailed in our press release located on our new corporate website at jmsmuckers.com. A replay of this call will also be available on the website. If you have any follow-up questions or comments after today's call, please do not hesitate to contact me or Mark Belgya. Let me now turn the call over to Richard.
Richard K. Smucker: Thank you, Sonal. Good morning, everyone, and thank you for joining us. We are pleased to have delivered another record quarter in earnings per share. This is a result of our commitment to our long-term strategy, the strength of our brands and the passion of our employees. Let me begin with a few key highlights for the quarter. First, non-GAAP earnings per share increased 5% to $1.52, with lower interest expense and a lower share count benefiting our year-over-year growth. While second quarter EPS slightly trailed our expectations by 1%, we remain pleased with the company's performance through the first half of the fiscal year, particularly in light of the strategic decisions to exit parts of our business, combined with the uncertain macro environment. As we look ahead to the balance of fiscal 2014, we remain confident in our ability to deliver on the earnings guidance that Mark will share with you in a few moments. Second, solid volume results were achieved across much of our business, including Folgers and Dunkin' Donuts coffee, Smucker's Fruit Spreads, Jif peanut butter and Crisco oils. While up in most of our key categories, volume continued to be impacted by the planned product rationalization in our International, Foodservice and Natural Foods segment. This, combined with pricing actions taken over the past year, continued to result in expected deflation on the top line. Third, segment profit growth in the U.S. retail segment was closely in line with our expectations, reflecting our previous commentary that the coffee segment profit growth would be front half-loaded, with consumer foods expecting to see strong segment profit growth in the back half. Segment profit for International, Foodservice and Natural Foods was down in the second quarter, primarily reflecting our planned rationalizations. As the impact of these activities begins to decelerate, profit growth in this segment is also expected to be positive in the back half. In addition, some unplanned manufacturing expenses did impact the quarter's results, as Vince will discuss. Lastly, our brand investments remain strong. Marketing will continue to ramp up as we kick off activities in support of our sponsorship of the 2014 Winter Olympics. In addition, we remain on track to launch 100 new products this fiscal year. Let me now take a moment to share a more macro look at the economy and how it's affecting our industry. The U.S. consumer has demonstrated extraordinary resilience over the past 12 to 18 months. The news regarding the fiscal cliff, sequester, debt ceiling and health care has taken a toll on consumer confidence, causing shoppers to take pause before spending. However, for the latest 12-week scan period, which included the government shutdown, total U.S. edible dollars and volume were up slightly compared to the prior year. We remain focused on our strategy of providing value to our consumers across our portfolio and ensuring our products can be found in all the channels that consumers shop and at a fair price. As we enter the back half of our fiscal year, we are in the midst of the important fall bake and holiday period. We are encouraged by the activities to date and continue to be optimistic for a solid conclusion to the holiday season and delivering a strong third quarter of profitable growth. This conviction is supported by several key factors, including the quality marketing and merchandising programs in place across our brands and categories, the ongoing contributions of our strategic growth drivers of innovations and acquisitions and the continued favorable impact in overall commodity cost, which supports our ability to execute on our pricing and promotional strategies. Let me now take a moment to speak to the FDA's recent announcement related to partially hydrogenated oils or PHOs. For the past several years, the food industry in general, and our company specifically, have been responding to changes in consumer preference in this area. We have been actively working toward transitioning PHOs out of the limited number of our categories where the ingredient is still used and anticipate that these will be reformulated prior to the FDA implementing any new rules. As such, we do not anticipate the FDA's recent announcement will impact our business. So in summary, we believe our first half performance, combined with our plans for the back half of the fiscal year, have positioned us to deliver another record year of earnings growth. As always, we want to recognize the dedication of our talented employees, and we thank them for their continued efforts. With that, I'll turn the call over to Vince for an update on our business segments.
Vincent C. Byrd: Thank you, Richard. Good morning, everyone. We remain committed to our key initiatives for fiscal 2014. These include building our brands through investments in marketing and innovation, enhancing our pricing strategies, improving our supply chain and ultimately, managing the business for the long term. Let me provide some commentary on the performance of the segments, focusing on those areas that impacted the quarter and those that will drive our ability to deliver another year of earnings growth. I will begin by summarizing a key few points for U.S. Retail Coffee. We are pleased with the overall volume performance for the segment as the 2% growth came against a strong comp in the prior year. The growth reflects the continuing momentum in our core Folgers business, along with another strong quarter for the Dunkin' Donuts brand, with volume up 11%. Turning to K-Cups. As we have referenced, the category is very dynamic with many new competitors and offerings. It is our view that consumers are using this time period to experiment with new flavors and brands. With that said, the performance of our K-Cup business was below our expectations for the quarter, with volume up 4% and sales flat to the prior year. We are seeing an increasing disparity between the results of our 2 K-Cup brands. Folgers Gourmet Selection, which represented approximately 80% of our 2013 K-Cup sales, were up 9% in sales for the quarter. In addition, we are pleased that the repeat purchase rates for this well-known and trusted brand remain strong. Conversely, we are seeing sales decline for our Millstone K-Cup offerings. As a brand that is less widely recognized, we believe Millstone has been impacted more significantly from the influx of competitor entries into the category. Given these dynamics, we are lowering our full year K-Cup sales expectation to mid-single digit percent growth for 2014. However, we continue to believe that, ultimately, K-Cup brands that invest in the consumer and the category and offer a high-quality product will be the long-term winners. To that end, we remain positive about our K-Cup business and our relationship with Green Mountain Coffee Roasters over the long term, given innovation yet to come. In addition, we will begin distributing K-Cups in new channels, including the dollar class of trade and the e-commerce channel, by the end of the fiscal year. We also have plans in place to launch 3 new varieties in fiscal 2015, all of which are expected to support further growth. Turning now to the coffee segment profit. Our price-to-cost relationship continued to have a positive impact on both the segment and the company's financial results compared to the prior year. This is consistent with our expectation for the front-loaded segment profit growth in fiscal 2014. We expect to continue to utilize various pricing levers to pass along the benefit of lower green coffee cost to our customers and consumers. The impact of these actions, in combination with record profits in the last 6 months of fiscal 2013, is expected to result in segment profit being relatively flat over the remainder of fiscal 2014 in comparison to the prior year. As we have indicated previously, these price-to-cost timing impacts will continue to affect quarterly year-over-year comparisons. Our focus remains on managing the profitability over the fiscal year and on a long-term basis. To that point, we have delivered year-over-year segment profit growth each fiscal year since owning the business. Let me conclude my comments on coffee with a brief update on the supply chain. During the second quarter, we acquired the lease rights and certain other assets associated with the Silocaf operation located in the Port of New Orleans, where the majority of our green coffee purchases are received. The previous owners will continue to operate the facility on our behalf. We believe the Silocaf operations provide a competitive advantage for our coffee business, and this strategic investment allows us to solidify our control over this important component of our green coffee supply chain. Let me now shift to the consumer foods segment and start the discussion with fruit spreads and peanut butter. During the key back-to-school promotional period, we saw volume gains for Smucker's Fruit Spreads, Jif peanut butter and Smucker's Uncrustables frozen sandwiches, with new products contributing to the growth. While volume was up across our PB&J business, profitability was down. Much of this decline was anticipated, reflecting our previously -- decisions to lean into price declines in advance of recognizing lower commodity costs within peanut butter and the anticipated supply chain's savings within fruit spreads. In addition, temporary incremental costs were also incurred during the second quarter related to the final phase of our startup of the new manufacturing facility in Orrville. However, we believe these costs are now behind us as we remain on track to complete this project by the end of the calendar year and realize the incremental targeted cost savings. Further, in peanut butter, we expect to realize the benefit of lower peanut cost for the remainder of the fiscal year. We anticipate this will be a key driver for consumer foods, recognizing segment profit growth in the back half of the fiscal year, mostly offsetting the declines realized through the first 6 months and stabilizing margins for the coming year. In the bake aisle, volume was up for Crisco oils, reflecting the brand's return to a key retailer's bake center this holiday season. Offsetting these gains were volume declines in flour, baking mixes and private label canned milk, where we either changed our promotional strategy to improve margin or chose not to meet aggressive competitive pricing. Overall, for the consumer foods segment, our focus on brand building and innovation continued to be a key contributor to the quarterly results. This includes a strong initial performance of our recently launched Jif Whips product line, as well as ongoing contribution from Pillsbury Baking items and Smucker's Natural Fruit Spreads. As Richard indicated, the company is on track to launch approximately 100 new items this year, with nearly half of those products coming from consumer foods. Let me conclude with International, Foodservice and Natural Foods, where a number of planned and unplanned events, primarily in our Foodservice business, impacted comparability for the segment. Most notably for the quarter was the planned decrease in Uncrustable sales, resulting from last year's strategic decision to exit the USDA commodity peanut butter program for schools. The volume and profit impact of this exit was relatively higher in the second quarter as it reflects the seasonal ordering patterns associated with the start of a new school year in addition to the strong comps a year ago. While our retail Uncrustables net sales increased 25% in the quarter, it did not fully absorb the lost volume associated with schools. The profit impact resulted from the net decline in Uncrustables volume, along with startup costs associated with the new bakery at our Scottsville facility, caused the overall Uncrustable business to negatively impact the company's results for the quarter. Uncrustables accounted for more than 1/2 of the year-over-year decline in the segment profit for the International, Foodservice and Natural Foods segment, while also contributing slightly to the decline in the Consumer Foods segment. However, with continued growth anticipated for this product and retail channel and our cost structure expected to improve, we remain confident in the long-term profitability of our Uncrustable business. As you know, we continue to invest in the capacity of our Scottsville facility, including the new bakery, which will support the expected growth for this product line. The other key area in the segment that impacted year-over-year volume and segment profit comparisons was the previously announced exit of the private label coffee foodservice business. The second quarter impact was in line with our expectations and remain on track to complete this transaction by the end of the calendar year. Importantly, liquid coffee concentrate, the key product acquired from Sara Lee, realized volume gains during the quarter, including the initial contributions from the launch of Folgers liquid coffee in foodservice. Related to this business, during the second quarter, both Smucker and D.E Master Blenders mutually exercised their right to terminate our multiyear innovation partnership due to a change in control of D.E Master Blenders. We have a transition in place and the parties continue to collaborate as we look to reframe the partnership as we move ahead. We do not anticipate any significant P&L impact from exiting the innovation partnership. Let me also comment on the results from the Cumberland distribution agreement that began in the first quarter, along with the recent acquisition of Enray Inc. We are pleased with the initial performance of both businesses, which are modestly contributing to EPS results. Specific to Enray, a significant focus over the short term will be on the integration of the sales and distribution network. We expect to complete this work by the end of the fiscal year, allowing us to further push out on the potential for this business. Finally, within this segment, as we entered the third quarter, the profit impact from Uncrustables rationalization is expected to decelerate due to the seasonality of the business. In addition, the unfavorable manufacturing variances that impacted our second quarter results are not expected to repeat. Combined with the strong fall bake anticipated in our Canadian business, we expect the segment to achieve strong profit growth in the third quarter. In closing, with the events that negatively affected our second quarter results mostly behind us, we are proceeding through the holiday season with robust brand-building activities in place across all of our businesses. These include great new advertising, product innovations and support behind our Olympics sponsorship. In addition, these initiatives will be complemented by our merchandising plans and pricing strategies, all of which makes us optimistic for solid conclusion to this period. I'll now turn the call over to Mark to discuss our consolidated results.
Mark R. Belgya: Thank you, Vince, and good morning, everyone. Net sales decreased $69 million or 4% in the quarter, primarily reflecting a 4% reduction in net price realization. Excluding the impact of the planned rationalizations in our foodservice business, volume was down 1% in the quarter. Favorable mix added 1 percentage point of growth as did acquisitions. GAAP earnings per share were $1.46 this quarter and $1.36 in the second quarter of last year, reflecting the ongoing decrease in restructuring costs. Excluding special project costs, which are defined in our press release, earnings per share were $1.52 this quarter and $1.45 last year, an increase of 5%. Included in our EPS for the quarter was approximately $0.04 of temporary incremental cost. Last year's results included a $10 million loss from unrealized mark-to-market adjustments on derivative contracts compared to a $2 million loss this year. This contributed to gross profit, excluding special project costs, increasing $11 million or 2%. Gross margin improved 220 basis points compared to the prior year. Operating income declined 1% for the quarter as the gain in gross profit was more than offset by a 5% increase in SD&A expenses, reflecting a 10% increase in general and administrative expenses. The majority of this 10% increase was the result of the prior year's costs being favorably impacted by our cost savings program. Marketing spend was up 2% in the quarter. We now expect marketing to be up in the mid to high single-digit percent range for the full year, with much of the cost related to the Olympic sponsorship occurring in the back half of the year. That said, we're very pleased with where we stand to date with our Olympic marketing activities. During the second quarter, we entered into an interest rate swap related to $750 million of our long-term debt, allowing us to effectively convert a portion of our fixed rate debt to variable while benefiting from favorable market conditions. As a result, we now anticipate full year net interest expense of nearly $80 million compared to our original projection of nearly $93 million. A portion of the benefit was recognized during the second quarter. Turning to cash flow. Cash provided by operations was $86 million in the quarter compared to $183 million last year. This decline primarily reflects a higher level of accounts receivable collections in last year's second quarter, along with a decrease in certain accrued liability balances in the current year. Current assets also increased, reflecting a swing in the mark-to-market value of certain derivatives. Capital expenditures were $47 million in the quarter. This resulted in free cash flow of $39 million for the second quarter, bringing the total to $85 million for the 6 months of 2014. Due to anticipated shift in timing related to certain capital projects, we expect CapEx for the year in a range from $250 million to $270 million based on project start dates. Our full year free cash flow target remains $600 million, with a significant amount of the full year estimate being realized in the third quarter. Let me conclude our prepared comments by updating the full year sales and EPS outlook. We continue to expect volume for our U.S. Retail segments to increase approximately 2% over the prior year, with volume for International, Foodservice and Natural Foods expected to be down in the mid-single digit percent range resulting from the planned business rationalizations. We expect 2014 net sales will decrease approximately 2% from the prior year compared to our recent guidance of being down 1%. The lower guidance is driven in large part by our reduced outlook for K-Cups, second quarter sales coming in short of expectations and the impact of foreign exchange. We are maintaining our outlook for non-GAAP income per share in the range of $5.72 to $5.82. The range now reflects the benefits of the interest rate swap, offset by slightly lower expectations at the operating income level. We anticipate essentially all the back half EPS growth will fall into the third quarter, with EPS for the fourth quarter expected to be relatively flat compared to the record fourth quarter in the prior year. In closing, let me reiterate that we're confident in our ability to deliver another year of earnings growth. With that, we will open the call up to your questions. Operator, can you please queue up the first question?
Operator: [Operator Instructions] Our first question will come from Farha Aslam with Stephens Inc.
Farha Aslam - Stephens Inc., Research Division: When we look at the Canadian Thanksgiving that's already occurred, I think you really sold into that Thanksgiving. And then as you enter this fall bake, could you describe to us the competitive environment and where you think Smucker's is doing particularly well and where you think that the competitive pressure is more difficult?
Steven T. Oakland: Sure. Farha, Steve Oakland. We did start off great and it's interesting, because this year, our Canadian Thanksgiving shipped mostly at the end of our first quarter, and then our Christmas shipments in Canada are going to ship early here in our third quarter. So a couple of key events with Canada's largest retailer on our canned milk business and our Robin Hood Flour business are all set and ready to ship here in the third quarter. So we think shares, and quite frankly sell through, for Canadian fall bake had been great. They just sort of jumped over the second quarter. They hit the first quarter, and they're heading now in the third quarter.
Paul Smucker Wagstaff: Farha, Paul Wagstaff here. Just from the U.S. retail perspective on fall bake, we're actually optimistic on how things are going so far. Our pricing is better this year than it was last year. The oil business continues to do well. We're in one of our key retailers on the bake center, so we feel good about that. We have a lot of new items that we've launched in the baking side, and those seem to be going -- doing very well. So overall, we feel good about our merchandising in place for fall bake.
Mark T. Smucker: Farha, this is Mark Smucker. I'll chime in. Basically, I think we feel very good. Again, it comes back to the merchandising activities and the price points that we've got in place through the fall period. And I think we're very well positioned and our share results are decent. And so I think even looking at some of the shorter periods, we're feeling very good about the next couple months.
Farha Aslam - Stephens Inc., Research Division: Great. And my follow-up is, as of, I believe, the last quarter, you said that the decline in coffee costs wasn't significant enough for you to take another pricing cut, but you'd pass along the savings to consumers via promotions. Coffee costs have continued to decline. Do you still plan to keep price points on shelf and just promote, or do you anticipate a need for a decline in coffee costs on shelf?
Mark T. Smucker: Farha, this is Mark Smucker again. I guess I'll frame it in. I think you said it very well yourself. As we've looked and we've talked about this the last couple quarters, the green coffee costs have come down reasonably significantly, but also gradually. And so as a result, rather than waiting for some of the costs to cross what we would consider our key thresholds to take a meaningful, more broad list price decline, we have chosen in the sphere of transparency to invest in promotional spending to get to those key price points through this period. And normally, I -- we wouldn't comment on any of our future pricing actions. But I think that, as we've said, we're very well positioned where we are today.
Operator: And next, we'll go to David Driscoll of Citi.
David Driscoll - Citigroup Inc, Research Division: You had an interesting comment in your press release, the benefit -- I just want to read it -- the benefit of lower commodity cost has provided us with the flexibility to further support our value proposition. Can you just expand on that and just talk about -- a little bit about price volume, elasticity? How favorable do you see this going forward? And then maybe just a specific comment about consumer foods related to lower input costs.
Vincent C. Byrd: David, this is Vince Byrd. The comment specifically is if you go back a couple years ago when our commodity costs were rising, I think, at that time, we were reaching price points that were probably beyond some consumers' reach, as well as our gaps were growing significantly. And again, about a little over 1.5 years ago, we really tried to work on closing those gaps, leaning into pricing and make sure we're doing a better job of managing those and hence, why we believe our U.S. retail branded volume was up 2% for the quarter and basically, year-to-date. And so it is all about managing and passing on those costs so that we can reach those consumers where maybe they had not been able to afford some of our product offerings in the past. And then I think Paul has already spoken to, but he can speak to a number of his categories.
Paul Smucker Wagstaff: Yes, David, Paul Wagstaff here. And looking at the consumer foods area, as Vince mentioned, we did lean into a lot of -- into pricing on some of our key categories. So for example, we took pricing down on peanut butter back in January of last year. We leaned into that ahead of some of the commodity cost decline. We're just going to -- we're anticipating on peanuts. We did the same thing for fruit spreads, leaning into that. And then also, on oils, we've been more aggressive on the pricing and getting ahead of that commodity cost decline that we've seen overall. So we feel, as Vince mentioned, we're very well positioned where our pricing is today, and the commodity costs are getting back to the more normalized position relative where our cost is.
David Driscoll - Citigroup Inc, Research Division: One follow-up on fall bake. So I think I understood the Canadian piece of it. But in the U.S. piece of the fall bake story, was there a shift of some of the shipments from second quarter into the third quarter?
Paul Smucker Wagstaff: Not a whole lot, frankly. We see most of that staying within the second quarter. So there'll be some bleed over into the third quarter, but primarily, the second quarter is where we anticipate it.
Operator: We'll take our next question from Robert Moskow with Crédit Suisse.
Robert Moskow - Crédit Suisse AG, Research Division: I was just looking at cash flow, and it's down significantly from last year. And I just wanted to know how you're thinking about cash flow for the balance of the year. Is this going to be a down year? And why would that be if -- since commodities are down quite a bit, I would've thought that the working capital would be a benefit to cash flow.
Mark R. Belgya: It's Mark Belgya. Understand the question. I think there's a couple things. In terms of the cash flow for the year, free cash flow for the year, we're still staying with our $600 million. And at the beginning of the year, we explained that, that was down from last year and that was due to an increase in our CapEx spending. Specific to the commodities, what we saw last year in the second quarter is we were facing a situation with our coffee canisters supplier, where we actually were running very thin on finished good inventories and actually, were also running a little thinner that we'd like on peanut butter. So we saw this big benefit in the second quarter of inventories being below what we would say our normal run rate levels. So we're back to where we would -- or are much more comfortable from a service level. And so some of what you have seen in the cost savings side, if you will, coming from lower commodity costs, have been offset in the volume side as we've rebuilt these inventories. But the big picture, I think, is, is that we're still holding to the free cash flow amount of $600 million. We're still holding to our target that we put out for 2017 of $850 million. And I think, as we might have commented on the last quarter, last 2 calls, we still think there's some opportunity to pick up in working capital, and we'll continue to work on that on a go-forward basis.
Richard K. Smucker: Couple things. This is Richard. Just to let you know, we're looking very closely, we always do, at working capital. And we're going to continue to make sure that it's the right levels. And so we have a number of initiatives to make sure we keep that at the -- where we want it to be. So as we go forward, I think we're going to be scrubbing that a little harder.
Robert Moskow - Crédit Suisse AG, Research Division: Got it. Maybe a quick follow-up, since it's my first call, so I'll take advantage. On the K-Cup guidance coming down, what do you think your next steps will be with relation to Keurig? I understand they're coming out with a new system next year. Will you develop capsules or pods that are adaptable to it? And as you look into fiscal '15, do you think you can reaccelerate and get closer to a growth rate that's similar to the growth of that category?
Mark T. Smucker: Okay. Robert, this is Mark Smucker. Thanks for the question. First of all, let me just comment on the dynamic of the current environment in the category, which is that, as you know, many unlicensed participants have impacted the share of all of the licensed participants in the category. And a lot of that is generated by just the trials that the consumer is looking at new products, that there is some pipeline fill of some of those unlicensed brands getting new distribution. And so we are not surprised by that dynamic, but I guess we were -- obviously, our results were below where we would expect them to be. Going forward, we do still highly value the relationship with Green Mountain. And any new innovations that they would bear to market, we would participate in, and that would be our assumption. So whether it's any new machine or whatever it is that they're thinking about, we would be confident that we would be participating in that. And then, further, I think we're not going to get back to probably the growth levels that we had seen. Even this quarter, if you recall, our prior year comp was almost double. And so we are coming off of a very big comp. But as you look forward, the combination of our brand support, the strength of our Folgers brand, the fact that we're launching 3 new items, our participation in these new channels, including an imminent Millstone brand relaunch, all of those things, coupled with the collaboration and participation in Green Mountain system, I think gives us confidence that we're going to continue to lead in the category.
Operator: And now, we'll go to Alexia Howard with Sanford Bernstein.
Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division: Can I ask about competition in the non-K-Cup part of the coffee segment, maybe breaking apart mainstream coffee from the premium segment? It looks as though some of the competitors have got maybe a little bit more aggressive on pricing on the premium side. And I'm curious about what you're seeing in competitive dynamics in mainstream as well.
Mark T. Smucker: Alexia, this is Mark Smucker again. Thanks, again, for the question. Actually, we're feeling very good as well about our roast and ground business. In the mainstream segment, really, the areas that have – you've seen some of the declines both in private label and in our opening price point offerings, which is driving, of course, consumers back to the core branded business. Our share trends x K-Cup are actually pretty solid. And although, in the period, we didn't grow quite as much of the category, we were up over the prior quarter, so the Q1 numbers and the very short 4-week period gives us some hope as well that our pricing and merchandising strategies are right. So I think it is a competitive segment. We feel we're very well positioned. And then on the premium side, I think it's just as good, if not better of a story. Just on Dunkin', we're up 11% on Dunkin'. And so that, again, validates our merchandising and pricing strategy. It's a noisy space right now, but we feel confident in the number of brands we have and the different tiers that we're doing very well and will continue to.
Alexia Howard - Sanford C. Bernstein & Co., LLC., Research Division: Great. And a quick follow-up, on the foodservice business, I know it's smaller, but do you anticipate getting back to profit growth in that segment by the fourth quarter when you anniversary some of those exits or is it a longer-term issue?
Steven T. Oakland: Alexia, Steve. Actually, I think we'll see some in the third quarter. Much of what we saw, both the Uncrustable startup, if you look back at last year, we had a huge Uncrustable quarter in the second quarter last year. So the seasonal nature of that, the fact that we announced it to our customers in the third quarter, that business started to drop off. So we've got a much bigger hump to climb on -- or a much smaller, excuse me, hill to climb on the Uncrustable in the quarter. We've got the results from both the Orrville startup, which quite frankly hit us in the early part of the second quarter, the operating rates, and the end of the quarter and early in this quarter look great. So we feel like our foodservice business will bounce back in the third quarter, actually.
Vincent C. Byrd: And just before we go to the next question, this is Vince Byrd, I think we need to try to clarify David's question relative to any potential shift between the second, third quarter as it relates to the holidays. As we all know, there's one less week between Thanksgiving and Christmas this year. But to Paul's point, there was not a significant shift in our products between the second and what we anticipate for the third quarter because a lot of those merchandising programs were basically set or pulled in by the retailer, sort of consistent with last year. So not a significant shift between our shipments this year compared to the prior year. Thank you.
Operator: Okay. Next we'll go to Chris Growe with Stifel.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc., Research Division: Just had a question for you in relation to -- there's been a wider practice across the industry from the retailers of reducing inventory levels. We've seen it sporadically from other food companies. So I just was just curious if you saw any change in inventory levels in some of your key businesses? It sounds like to your point there, Vince, there was no real change in shipments around seasonal merchandise, but I'm curious overall in inventory levels at retail, if those have changed.
Vincent C. Byrd: Yes. Chris, this is Vince. And although we have seen that historically, we did not see that occur in this particular quarter.
Christopher R. Growe - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then I just had a question, and maybe a question to Mark about the gross margin. And you've been talking about a more aggressive level of gross margin increase, maybe as much as 250 basis points. And so I wanted to understand if that was still a good number to use. If you said that, I'm sorry I missed it. And then in relation to that, just the phasing of input costs across the second half of the year and how that could influence, say Q3 versus Q4, if there's anything unique to the gross margin performance in those 2 quarters?
Mark R. Belgya: Yes. Chris, this is Mark. In terms of the 250 basis points, that still is a good number or growth rate to consider. I guess I would just point out in the spirit of transparency, it is a combination of the sales going up -- down 2% versus the 1%, so a lower top line number, and then somewhat an offsetting profit number. But the overall gross profit margin growth is 250 basis points. In terms of the cost, there's nothing significantly different. I mean, I think as Mark mentioned earlier, the commodity costs in coffee have gradually come down. And then in peanuts, where we're obviously realizing the lower costs. So between the Q3 and the Q4, costs alone aren't having a significant impact one versus the other quarter. But that said, and just to reiterate one of the scripted comments is our third quarter will be the driver of the last 2 quarters.
Operator: Next we'll go to Thilo Wrede with Jefferies.
Thilo Wrede - Jefferies LLC, Research Division: First question I have for you was more of a housekeeping question. Are you still expecting to increase your marketing spend 10% this year? And also, with the trans fat decision at the FDA, does that have any impact on your R&D spend going forward to get these trans fats out of your products?
Mark R. Belgya: Yes, this is Mark Belgya. Again, I think we might have mentioned it earlier, but we're going to come in probably mid to upper single digits on the marketing for the year, which obviously will put a significant amount in the second half, but we're going to be just a little bit lower. But we're really pleased, in particular, around our Olympic spend to date and the advertising and marketing activities associated with that. So even though we're going to be down probably a couple of percentage points from the 10%, we still feel very good about the marketing support across all lines of business.
Paul Smucker Wagstaff: Thilo, this is Paul Wagstaff. And on the PHO question, the FDA announcement, no, that's not going to have an impact on our R&D spending. We've been working on getting those -- that product, that ingredient out of our products for years now, and so it's really no impact to us.
Thilo Wrede - Jefferies LLC, Research Division: Okay. And then the other question I had was, this was the second time that you lowered the top line outlook for the year. How does that jive with the comment that the consumer is resilient? I'm a little bit surprised by your description of the consumer there.
Richard K. Smucker: Well, this is Richard. A couple of things. We have -- if you look at our core categories, we're actually up in tonnage. But the biggest impact on our top line is just the deflation that we've taken this past year. And so we are taking down 1 percentage point from what we originally said last time. But most -- majority of that is the deflation, and where we stand in pricing and promotions, as opposed to our business, is very solid.
Mark R. Belgya: This is Mark Belgya again. And just, I guess, specific to the company then, of course, we've taken down our K-Cups some, so that's affecting us and sort of setting the resiliency of the consumer side.
Operator: And now, we'll take a question from Jason English with Goldman Sachs.
Jason English - Goldman Sachs Group Inc., Research Division: Question on cash flow. I was surprised to see that you didn't repurchase any shares this quarter. Can you talk about the rationale behind that?
Mark R. Belgya: Sure, Jason. This is Mark Belgya. Well, I think as we are consistently around buybacks, would say a couple things. One is, we sort of target roughly a couple percentage points a year, which is roughly 2 million shares. We bought back 1.5 million in the first quarter. And quite candidly, our stock price hit an all-time record in the second quarter. So we do look at it, and then -- as it relates to the stock price. But I think certainly then, as we've put in our cash flow, we've spent over $100 million in our acquisitions of Enray and Silocaf, so there were some specific cash needs as well during the quarter.
Jason English - Goldman Sachs Group Inc., Research Division: M&A ambitions. I think coming out of back-to-school, a lot of people were speculating that you could be more active in M&A going forward. Can you talk about your appetite today and maybe what you're seeing out there in the potential deal flow?
Richard K. Smucker: Well, this is Richard. And you're right, we have -- we continue to have an appetite. As you know, acquisitions are lumpy. We have a number of brands out there that we'd be very interested in. We've made a number of contacts, which we have all the time, kind of keep our lines in the water. But none of those have hit, except for Enray in the last quarter. But that was actually a very nice acquisition. It's an enabling acquisition, and it's actually doing very well for us. But I think as we go forward, you're going to see, especially at interest rates this low, more acquisition activity and probably higher prices. So we want to make sure that we are doing the right acquisitions at the right price. So there have been a few that we've walked away from because the prices have been too high. And we think a great brand at a bad price is still a bad acquisition. So we're going to continue to be in the market out there. And I think in the next, hopefully, 18 months or so, we'll have something else in our portfolio.
Operator: And we'll take our next question from Jonathan Feeney with Janney Capital Markets.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: I wanted to ask about price elasticity, particularly, one would think, with the -- certainly, you saw the reversal of those significant increases in peanut butter pricing result in major category recovery. Are -- now that coffee prices are coming down, is that stimulating the category, and should we expect that to continue to? And just an update on that phenomenon in peanut butter, which is still -- you're still growing Jif, but at a little bit of deceleration sequentially.
Paul Smucker Wagstaff: Yes. John, this is Paul Wagstaff. No, from a peanut pricing perspective, again, as I mentioned earlier, we leaned into pricing, trying to get the price right on shelf, which we believe we have. It's the right thing to do. We feel comfortable where pricing is right now, and the results and the volume that we've seen, the growth we've seen on the Jif business is solid. And so going forward, we don't anticipate taking any more pricing action in the near term.
Mark T. Smucker: And Jonathan, this is Mark Smucker, just on coffee. I think you need to separate K-Cups just for a minute and think about the core category. I think, generally speaking, there is a little bit of stimulation in the -- just in volume because of the pricing being more in line with some of the historical, as well as the fact that because the costs have moderated gradually, competition is more or less on a level playing field, we believe, and that creates healthy competition and growth.
Vincent C. Byrd: And this is Vince, and maybe one other data point that might help you think about the elasticities. But as we go back to those price gaps that we referred to earlier, if you look over the latest share of market report, basically, private label is actually down in 7 of the 9 categories that we participate. So again, an indication that those gaps and those elasticities are working, in this case, in our favor as the brand leader.
Jonathan P. Feeney - Janney Montgomery Scott LLC, Research Division: I get you. But I guess as a follow-up, you saw some significant volume headwinds, right, as you had -- were forced to take prices up. And I'm just thinking here particularly of the peanut butter category. So are you -- it looks to me like you're not really back to your sort of high watermark there, nor is the category. So I guess maybe the question is, from this point on, does the category just grow at a population level? Or are we still in this kind of volume recovery mode where a lot of the stock up activity you'd expect in this category that came to a complete halt and reversed itself, say 18 months ago, is now kind of happening a little bit more at the margin and we've seen -- you a saw very strong result? Are we now back to like below single digit category outlook from that perspective?
Paul Smucker Wagstaff: Well, Jonathan, Paul here again. I think peanut butter, from a long-term growth perspective, it's been pretty much in single-digit growth for a while now. It's low -- we grew 2% roughly. Again, keep in mind, we had a downsize of our 18 ounce to 16 ounce, so that impacted what you're seeing in some of the volume numbers, even though cases were up closer to 8%. But bottom line, we're also having a lot of new products enter the category from our perspective, and I think those are doing well. So we should see some continued growth on the peanut butter category, and we feel comfortable with the growth level that we've seen so far.
Operator: And now we'll move on and take a question with Ken Goldman with JPMorgan.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: I may have missed this in your prepared remarks. Can you help us quantify the impact of the one-time investments in Uncrustables and fruit spread plants in the quarter?
Mark R. Belgya: Yes, Ken, it's Mark Belgya. We did say that it's about $0.04, and that would be manufacturing-related, overhead absorption-related activities at those facilities.
Kenneth Goldman - JP Morgan Chase & Co, Research Division: Okay. And then on green coffee costs, Starbucks -- or a representative from Starbucks recently said they think green coffee costs were close to their [indiscernible] because they're below the cost of some farmers' production. I'm curious, to what extent perhaps, I guess, you share that view?
Mark T. Smucker: Sure, Ken. It's Mark Smucker. It is true. Let me start with the -- your latter comment first. It is true that coffee production costs in several countries are below. I would say that's maybe not true across the board, but that is the case. And then you may have seen, there have been -- some governments have actually provided some support for farmers. Obviously, we continue to work on our sustainability initiatives as well, a few of which definitely helped some of the farmers in some targeted areas. So I think that is true. As to whether the coffee is at its low point, I think our view is that it is probably relatively close. And having said that, there are -- there's a lot of coffee out there. Just fundamentally, there's just a lot of arabica in the market. There's a reasonable amount of robustas out there. And so we would -- our view would be that, relatively, in this range, within a $0.20 range or so, we're going to probably remain for some time.
Operator: And now we'll go to Chuck Cerankosky with Northcoast Research.
Charles Edward Cerankosky - Northcoast Research: I'd like to revisit, from a different perspective, the idea of consumer resiliency and these declining prices in some of your categories. What are you seeing and what can you manage in terms of the customer trading up as overall cost structure comes down, say in coffee or the nut butters, and how's that expected to influence your margin over the next 12 months?
Vincent C. Byrd: Chuck, this is Vince. I'll start and look to the team to provide color. But I think if you -- a very good example is when we had the run up of coffee costs 2 years ago, when arabica topped off at over $3, we saw a significant shift in our roast and ground business from the core holders to what we would call our opening price points. So again, that was a shift to a lower-cost offering for our consumer. At that time, we're asking our consumers to pay over $14 for a can of Folgers, where the OPP might have been, say 75% or 50% of that. Today, with the decline in the pricing that Mark spoke to earlier, we're able to get those core prices back down and consumers can now, I'll say, trade back up to or get back to where they were previously to some of the core Red Can, and our OPP, for example, would be down right now compared to where it was 2 years ago. So I think that's a great example of where the consumer has responded to our offerings. The good news is, we have offerings in all those spaces for them to make their choices. So with that, I don't know if -- I'll look to the team to see if they have any more additional to add. But again, I think, I will say one other thing on peanut butter. We were actually very pleased that the overall category, where the volume remained 2 years ago when we had the run-up of the peanut costs, and that -- we would suggest that, that was resilient at that point. So now that we have some of the price declines that Paul spoke to, we feel very good that the category is going to continue to grow in the future.
Paul Smucker Wagstaff: Yes. I might just add, and this is kind of tangent to what Vince said. But we've had probably more deflation in our company than a number of other food companies because our 2 largest categories, coffee and peanut butter, had huge declines in the commodity costs, which we reflected. And so maybe some other food companies haven't had as many of their commodity costs come down. It shows up more in our top line than it might in other companies, but I think we've protected it on the bottom line.
Charles Edward Cerankosky - Northcoast Research: Do you need to use [ph] promotion and new product intros to nudge the customer up into, call it, more upscale products?
Vincent C. Byrd: This is Vince. Well, sure, I mean, all of our new products -- so we're not necessarily trying to trade them up. In some cases, we may be trying to give them an offering that fills the void that we may not have within the marketplace, so we look at all ends of the spectrum. But I think back to your original question, Chuck, about why we feel going forward, if you look at where we grew some of our core items, where we didn't grow were very conscious decisions about managing the bottom line like on a promotional strategy around our cake, or we just chose not to meet a very competitive pricing, such as flour, during the period. So the teams are clearly focused on driving the volume and managing our price point and promotional strategy is the key to that.
Richard K. Smucker: We're also seeing -- this is Richard again. We're also seeing, Chuck, that there's a group of consumers out there that are willing to buy the premium gourmet products. And this is the split between kind of the haves and the have-nots. And so higher price products continue to do well and specialty products continue to do well and then the value products continue to do well, and we participate in both and want to have the right price points for all those levels of consumers. So we're seeing growth in both those -- both categories.
Operator: And next we'll go to Akshay Jagdale.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: I just wanted to talk a little bit about the current dynamics in the single serve space and how you might -- how you see it playing out and sort of what you're hearing from the retailer, because I mean, you are the largest coffee company in the United States, so I assume you get a very good understanding, even from the retailer, as to what's going to happen. So if I could ask it in like 3 parts. One is, shelf space, overall single serve. What do you expect the shelf space allocation to go to from where we are today? I mean, is it still going to grow and perhaps by how much? Secondly, on share. Share largely is a function of trial and repeat, and it seems like the repeat rates for licensed brands are much higher, much higher than the non-licensed brands. One, is that correct? And two, will that result in share gains over a period of time once consumers revert to just trying what they love and trust? And then the third thing is just on pricing. I mean, how do you view the pricing dynamic to play out in single serve?
Mark T. Smucker: Okay, Akshay. Mark Smucker here. Thanks for the question. So let me start with your second question first, which is around share. You're absolutely right. We mentioned that earlier. We do have data that supports repeat rates on licensed brands being above those of the unlicensed. We do believe there will be a settling out. So what I mean by that is the shelf space is -- it depends on the customer or the region. There are some customers that probably have much less shelf space allocated and there's a few customers that have actually acknowledged that they have gone maybe too far and have actually allocated too much shelf space. So I can't answer how much shelf space is right generally because every store is a different size and so forth. But I think you are seeing customers continuing to experiment with that set, as well as consumers continuing to experiment with the new brands out there. So I believe -- we believe that as we go forward, there will be some settling out, and we do believe that our share, although we may not get a share that is equivalent to a roast and ground share, we do believe that over the next year or 2, with this settling out and the strength of our brands, some of the things that I spoke about earlier, that we will be able to maintain and even come back to some share growth. But right now, there's just so much noise in the category that we think that we have to sort of weather through this key period and we'll see what happens in the springtime. And then finally, on pricing, the unlicensed folks have come in, generally speaking, where we expected them to, and the price gaps that we are seeing in the marketplace are equal to or better than what we're seeing in the roast and ground space. So again, still feeling optimistic about the category.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Okay. And just a follow-up. I mean, what are -- in terms of where this -- in the dynamics of somewhat being different than you expect, obviously, your sales numbers are a little bit lower. Is it just that the trial, meaning the number of non-licensed participants coming on to the shelf has been much larger than you expected or is it something else? If you could explain that. And what's the retailer thinking? I mean, how do you think -- what are the retailers telling you in terms of the licensed versus non-licensed dynamic?
Mark T. Smucker: Well, I think that, quite frankly, we did expect a very large influx of unlicensed folks. I don't think that was surprising to us. I think maybe what we underestimated a little bit was the amount of noise and trial generation that exists in the marketplace. I think the retailer, quite frankly, is still learning as well. I don't -- I think I sort of already spoke to that, but I think I really couldn't add anything to that other than it's a period of trial and we're all learning.
Akshay S. Jagdale - KeyBanc Capital Markets Inc., Research Division: Okay. And just one last one on M&A. Related to your Sara Lee foodservice acquisition, can you just give us a snapshot and time right now? There's a lot of moving parts that the private label business, you were going to exit it right away, then you held onto some and now you're exiting again. Where -- when do we expect the $0.10 in accretion from that business? And can you just give us a snapshot as to the mix of that business today and what it was when you bought it?
Steven T. Oakland: This is Steve Oakland. Let me comment on the mix of the business today, first of all. First of all, the jewel in that business was its liquid concentrate coffee business, right, under the Douwe Egberts brand. And that business, where -- what I'm pleased to say is, is up year-to-date in volume. Obviously, the net sales are down a little bit because of the pricing dynamics we've talked about on coffee. But we feel that business is in great shape, and we have just, this summer, launched the Folgers brand. As you know, although Douwe Egberts, a well-recognized global brand, was not a well-recognized North American brand. So we brought Folgers liquid into the foodservice space. Quite frankly, and I think we talked about this a year or so ago, along with that business, we felt it was our really responsibility to our customer base to transition that private label business properly as Sara Lee went away. And so yes, that's taken us longer. The largest customer, quite frankly, of that business is on a calendar year contract, which ends here in December. There was a dedicated sales force with that business that has been adjusted somewhat and has been reorganized into our core foodservice business, and those people will now be selling our core foodservice and branded items. That all happened in October, November. So we feel good about both the cost structure and the core business. We feel comfortable that we'll -- we worked our way through the private label transition. And then the margins from there, I guess I'll look to Mark as far as how we want to announce the timing of those.
Mark R. Belgya: Yes. Akshay, it's Mark. We continue to make progress, as Steve suggested. I mean, we lost some profit quite candidly through the exit of some of these business. I think initially, it was viewed as pretty much a 0 margin business on the private label. But as we've talked, there was some interconnectivity with some of the other products. Obviously, there's some overhead that's got hung up. So that's being drawn out. But I think the liquid business is good business. We will see that profit increase going forward. Clearly, as we roll out the Folgers brand, we'll see growth. So we'll probably be more specific of the timing as we move through the year into next fiscal, but it certainly is tracking more or less in line with where we expected originally.
Operator: [Operator Instructions] We'll go next go to Jon Andersen with William Blair.
Jon Andersen - William Blair & Company L.L.C., Research Division: I have a question. I know it's a small acquisition, but as it relates to Enray, how are you thinking about the gluten-free food opportunity? Is this a niche? Is it a kind of a longer-term trend? And then I guess, as it relates to Enray, what are your ambitions kind of in that space and how might that manifest itself with how you approach Enray going forward?
Steven T. Oakland: Jon, I'll comment first and then maybe Paul can comment on our core businesses with gluten-free. Enray is a wonderful complement to the scale we have in natural foods. Our Knudsen and Santa Cruz Organic brands are some of the largest shelf stable businesses in the natural organic space, but they are mature categories. And so to bolt onto that team, a smaller but high-growth enabling business to allow us to do sort of what we've done in U.S. retail, which is become a center-of-the-store branded player of natural foods, much more so, we thought was a great opportunity. Much of that business today is quinoa, but they have a lineup of wonderful ancient grains, and they have a technology on sprouting those grains that we think is unique in North America. And many cultures, as well as many people, who shop in the natural food space, understand the benefits of sprouted grains and what you can do with those. So we think there's a lot of runway. It's a very immature product in its life cycle going from a very limited number of customers in the natural space to the broad natural sections across U.S. retail. So we think that our resources and our footprint can take advantage of Enray's great product mix, broad product mix and take those across the retail space. So that's the exciting part. Now with regard to gluten-free in general, the Canadian business probably is the farthest ahead, and we've launched a number of Robin Hood products in the gluten-free area and they're doing really well. And then maybe I'll turn it over to Paul. But honestly, gluten-free is a trend in the United States. Enray will help us and enable that. But quite frankly, it's a business that's going to grow quickly in the natural food space.
Paul Smucker Wagstaff: John, this is Paul. And just to add onto what Steve said, clearly, the gluten-free trend is continuing to grow, and we are -- we've been watching it very closely and we've been -- our R&D team has been focused on how do we come out with new items that are gluten-free. So I would expect you would see some Pillsbury products and some of our other brands to have gluten-free items or offerings in the near term.
Jon Andersen - William Blair & Company L.L.C., Research Division: Great. And one quick follow-up on -- just on the Uncrustables business at retail. I think that was up 25% in volume terms in the quarter. Can you talk a little bit about just kind of what you're seeing there in terms of the strength? Is it new products? Is it new distribution? And how do you think about piece of the Uncrustables franchise growing going forward?
Paul Smucker Wagstaff: Sure, John. Paul here again. And Uncrustables, you're right, grew about 25%, and it's kind of 2 parts. First is we did have some distribution gains that -- they are contributing to the high number -- high sales growth number, but that product continues to do well. And over the previous year, we just haven't had the capacity to really push out on that business in the retail side. And with the exiting of the school business, as well as the new bakery that we -- that Steve's team put in the Scottsville facility, we're now in the position to be able to really push that product going forward. So will we see 25% growth rate? I'm not sure about that, but we'll definitely see likely double-digit growth going forward.
Operator: And next, we'll go to John Baumgartner with Wells Fargo.
John J. Baumgartner - Wells Fargo Securities, LLC, Research Division: I'm wondering if you can speak a little bit to the fundamentals in jams and jellies right now? It looks like the category volumes have been soft since mid-summer, pricing is coming down. So how are you thinking about the competitive dynamics here and maybe the potential for a more promotional environment going forward?
Paul Smucker Wagstaff: John, this is Paul again here. A couple things in jam and jelly. First off, when you look at our what we call our strawberry and varieties or our core traditional business, we actually grew that around 4% this year. We were up 5% on our traditional business and our squeezed fruit spread business was up 7%. So some of the core business in what we call our jam jelly or JJP category, actually, has done pretty well. A couple of the areas that we're struggling with or down a little bit further, one is on grape jelly, which is an area that we really don't focus on as much because it's a no-profit business for us or a low-margin business. And so we always try to monitor and make sure we get enough of that, but not too much, so to speak. The other area that we're struggling a little bit with is the better-for-you category, so that would be our sugar-free, our low sugar and our Simply Fruit businesses, and that has struggled here for, I'd say, the last year or 2, couple years. And we're working on trying to bring some new news to that category and hopefully, with the Olympics, we think that's one area that's going to bring some new news to the total Smucker jam jelly category. But we also launched a new product in our Smucker's Natural that has -- we've seen some nice growth with, and that's a new product, so we're going to hopefully see that continue to pick up some share growth and continue to contribute to the category. So overall, we feel like we have some good momentum on fruit spreads and we'd hope to see that continue.
Operator: And our last question will come from David Driscoll with Citi.
David Driscoll - Citigroup Inc, Research Division: Mark, I just wanted to ask you a little bit more about the premium end of the K-Cup market. You mentioned in one of your responses the imminent relaunch of Millstone. But could you, number one, just say, roughly speaking, what's your company's share of the premium K-Cup market? And then talk a little bit about this Millstone relaunch. Why is this going to work? What's the real hook for the consumer, given that there's such strong brands in that premium end of the business?
Mark T. Smucker: David, this is Mark Smucker. Quite frankly, we don't look at the K-Cup category in the tiers yet because they're not clearly enough defined in order to do that. They're developing, so I guess I should say that to lead off. And then just with Millstone, we think that it is possible to reposition that brand as a more premium. So if there is an upper tier in roast and ground, we think that's where Millstone plays. I do think it remains to be seen how the tiers in the K-Cup category separate out. And we can't even slice share in that -- in those segments yet.
David Driscoll - Citigroup Inc, Research Division: And is there any update you might be able to give us on Dunkin' Donuts and the ability to sell K-Cups through that partnership? Right now, it's only the bag. So is there any movement here to actually get Dunkin' in the K-Cup?
Vincent C. Byrd: David, this is Vince. The answer is we continue to have dialogue with Dunkin', but there's nothing to report.
Richard K. Smucker: No, that was our last question. So thank you, all, for joining us today, and we look forward to delivering our results for the year. Appreciate it.
Operator: Ladies and gentlemen, if you wish to access the rebroadcast after this live call, you may do so by dialing 1 (888) 203-1112 or (719) 457-0820 with a passcode of 9167122. This concludes our conference call for today. Thank you, all, for participating, and have a nice day. All parties may now disconnect.